Operator: Good day and welcome to Coca-Cola Enterprises fourth quarter 2014 conference call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead sir.
Thor Erickson: Thank you and good morning everybody. We appreciate you joining us today to discuss our fourth quarter and full year 2014 results and our outlook for 2015. Before we begin, I would like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release, as well as the detailed cautionary statements found in our most recent annual report on Form-10K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. This morning's prepared remarks will be made by John Brock, our CEO; and Nik Jhangiani, our CFO. Hubert Patricot, President of our European Group, is also with us on the call this morning. Following prepared remarks, we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question, and we’ll take follow-up questions as time permits. Now I'll turn the call over to John Brock.
John Brock: Thank you, Thor. And we thank each of you for joining us as we review our results for the fourth quarter and full year of 2014. Throughout 2014, we faced a combination of challenges, including persistent macroeconomic softness and evolving customer and consumer landscape and a dynamic competitive environment. These factors affect the top-line growth and continue to impact our outlook for 2015. Through our focus on cash generation, and our ability to manage the levers of our business, we continued to drive shareholder value. In fact we repurchased $925 million of our shares, which combined with our dividend payment for the year represent approximately $1.2 billion of cash returned to shareowners by the end of 2014. We also achieved our objective, earnings per share for the year, with comparable earnings per diluted share of $2.85. This represents growth of 13.5% from a year ago or 11% on a comparable and currency neutral basis. Full year net sales totaled $8.3 billion up 0.5% on a reported basis or down 1% on a currency neutral basis. Free cash flow remained strong and totaled $677 million for 2014. For the full year total volume was flat. This reflects a slight decline for sparkling drinks, flat volume for our Coca-Cola trademark brands and growth of 1.5% in still beverages. Coca-Cola Zero contributed solid growth of 11% for the year. In addition, we began the introduction of Coca-Cola Life, which was well received in the marketplace by both customers and consumers. Nik, will provide some further details on our underlying 2014 results. Now let’s take a look at our outlook for 2015. As you saw in our news release this morning, we continued to expect earnings per diluted share to grow in a range of 6% to 8% and we expect both net sales and operating income to be slightly positive, all on a comparable and currency neutral basis. Currency translation would reduce 2015 earnings per diluted share by approximately 16% based on recent rates. This currency headwind as more than doubled since our outlook call in December. We are mindful of the impact to investors and we will seek ways throughout 2015 to improve our outlook. Going forward we will continue to place a strong emphasis on cash generation and the optimization of our capital structure. This will generate cash for investment or to return to shareowners. And in either case our goal remains to deliver shareowner value. To achieve this growth in the context of the current macroeconomic and marketplace challenges requires not only effective management of each area of our business, but also our ability to adapt. This means innovating in every area of our business. We must continue improving our customer service making our supply chain more effective and creating products and packages that meet changing consumer preferences. We believe our operating plans for 2015 reflect this commitment with the solid emphasis on brand innovation and marketplace and package initiatives. On the brand side for example, we will expand the distribution of products such as Coca-Cola Life Finley and smartwater, and we’ll introduce new packages and multi-pack combinations. To build on the advantages of our core brands, we are working closely with the Coca-Cola Company to enhance each aspect of our connection with customers and consumers. This includes targeted programs linking consumer media placements and marketplace execution to improve our in-store presence and to create a closer link between consumers and our brands. In addition, specific initiatives will strengthen support of individual core brand, including Coca-Cola Zero, Fanta and Sprite. With Diet Coke for example, I regret nothing campaign in Great Britain target to core Diet Coke consumers and ties in a solid media presence with in-store execution. In the Energy we’re working with Monster to build on our partnership, including sports sponsorships and expanding our social media presence. We’re also leveraging our multi-brand Energy strategy with Relentless, Nalu and Burn. We will utilize strong shopper promotions and new packaging to continue to grow in this high value segment. We also have strong marketing assets, like the Rugby World Cup, which takes place in Great Britain. You will hear more about this as the year progresses. Our marketplace strategies reflect a broad innovative approach encompassing both the Home and Cold channels and that promotes price point flexibility and enhanced consumer value. For example, in the Home channel, we are implementing price specific initiatives for large PET. New value building multi-packs and small basket PET packages and multi-pack cans. We’re also working to generate growth from opportunities and categories such as Energy, Discount and Convenience channels and digital sales with focused marketplace strategies. These segments are all growing and we are executing plans to maximize results in each. In Cold channels, we are focusing on ways to increase visibility and enhance our presence with consumers. This includes more store front coolers, new vending fronts or focused outlet activation and new outlets and venues. We will also work to maximize effectiveness, while continuing to fully support our customers with the highest levels of service. This program continues to focus on a combination of category planning, shopper insights and supply chain efficiency. At the hard of this effort, and at the hard of our day-to-day success, the people who work directly with our customers and who make our success possible. Our goal is to provide the tools, technology and leadership to allow them to maximize their own potential and in turn to create an even more agile and effective organization. For example, we are implementing a new digital workplace initiative that include state-of-the-art technologies that enable our employees to communicate, elaborate and work faster and more effectively with each other and with our customers. Additionally, sustainability remains key to our strategy and we continue to be recognized for our work in this area. Just the last month CCE was named the 26th most sustainable company in the world by Global Knights and was the only beverage company in their annual Global 100 list. A list considered to be one of the world’s leading sustainability industries. Now let me share some closing thoughts. We sell some of the world’s greatest brands that are preferred and desired by both our customers and our consumers. We have strong marketing assets and create a solid foundation for future success. We operate in markets that offer long-term opportunities for growth. In addition, we have strong partnership with the Coca-Cola Company, with an aligned focused on continuing to develop and grow our portfolio throughout our territories. At the hard of these efforts, and at the hard of our day-to-day success, all the people who are directly with our customers and who make our success possible. In our production plans, in our sales centers and in the marketplace, our people sees opportunities to create value drive improved effectiveness and efficiency, serve their customers and communities and importantly build on the heritage of some of the world’s greatest brands. And finally, our solid balance sheet and free cash flow continues to provide the cash to opportunistically pursue mergers or acquisitions and to return cash to shareowners. We will continue to use this strength, as we work through the ongoing macroeconomic and marketplace headwinds that continue to affect our business and our operating growth. In 2014, we adjusted our plans, focused on generating strong free cash flow and achieved our earnings per share growth objective. As we go forward into 2015, we’ll continue to adapt to these conditions, with the strong emphasis on innovation in every aspect of our business. Long-term we would utilize each of our assets and our abilities to accomplish our number one objective, creating value for our shareowners. We believe our strategies, brands and people will enable us to reach this goal. Now, I’ll turn the call over to Nik for more details on our 2014 results and our 2015 outlook.
Nik Jhangiani: Thank you, John and thanks to each of you for joining our call today. Let me start with an overview of our fourth quarter results where we achieved comparable earnings per diluted share of $0.58. While reported net sales declined 5.5%, they grew 1.5% on a currency neutral basis. Volume grew 2% with the strong growth of 6% in Great Britain, a decline of 1% in Continental Europe. The fourth quarter also benefited from one additional selling day when compared with fourth quarter of 2013. Turning to the full year, we reported earnings per diluted share of $2.63 or $2.85 on a comparable basis, up 13.5% and up 11% on a comparable and currency neutral basis. Full year 2014 comparable operating income grew 5% was 3% on a comparable and currency neutral basis. Reported net sales increased 0.5%, but was down 0.5% on a currency neutral basis. Net pricing per case for the full year declined 0.5% and cost of sales per case declined 1%. Operating expenses increased approximately 1%. These figures are all comparable and currency neutral. The combination of slight favorability in price per case versus cost of sales per case coupled with tight operating expense control enabled us to achieve operating income margin improvement. We completed the year with strong free cash flows of $677 million and we repurchased $925 million of our shares. We also paid out $246 million in dividend and together this represents approximately $1.2 billion return to shareowners in 2014. Now let’s take a look at our outlook for 2015. As John reviewed with you, we have affirmed our 2015 guidance our earnings per share, earnings per diluted share growth in the range of 6% to 8% on a comparable and currency neutral basis. We also continue to expect full year net sales and operating income to be up slightly, both on a comparable and currency neutral basis. Though it is very early in the year based on recent rates currency translation would have a negative impact approximately 15% on comparable earnings per share. As John mentioned, this impact is more than doubled since our call in December. Let me note that our outlook for the business including our comparable and currency neutral guidance for net sales, operating income and earnings per diluted share growth has not changed since our December call. With that said, we have seen a significant downturn in currency translation rates since our December call, which does have an impact on our free cash flow guidance, as this is not a currency neutral number. Given currency translation and based on recent rates, we now expect our 2015 free cash flow to be in a range of $600 million to $650 million and capital expenditures to be approximately $325 million. While we do not hedge currency translation, we are well aware of this impact and we will continue to focus on generating cash improving our growth outlook and driving shareowner value creation. Our weighted average cost of debt is expected to remain at approximately 3% and the comparable effective tax rate for 2015 is expected to be in a range of 27% to 28%. We also expect to repurchase approximately $600 million of our shares in 2015. Given these factors, we expect to finish the year near the higher end of our net debt to EBITDA range of 2.5 to 3 times. As before this outlook maybe impacted by decisions we make, as we continue to explore ways to best manage the flexibility of our balance sheet. We remain focused on cash generation and absent merger or acquisition activity, we anticipate returning excess cash to shareowners through a combination of dividend and share repurchases that I’ve just indicated. In fact, our Board of Directors this week approved 12% increase in our dividend, given the currency impact previously noted, this dividend increase represents an even greater increase in our payout ratio. Now as we look further at our outlook, let me add a few key points. We continue to believe challenging marketplace conditions will persist in 2015. Our plans reflect a focus on improving top-line growth as we work with our customers to implement our innovation and marketing initiative and execute them in mutually beneficial ways. Overall, our cost of goods environment is likely to remain benign and we will utilize this flexibility to make incremental investments in key areas including product and package innovation and digital sales to support our focus on long-term profitable growth. When comparing 2015 to 2014, in terms of selling days, the first quarter will have four more and the fourth quarter will have four fewer selling days and the full year will have the same number of days. Putting all these factors together and then including currency translation at recent rates, we expect a decline in first quarter comparable earnings per diluted share growth of approximately 15% relative to prior year. Ultimately our goal remains the same to deliver increasing levels of shareowner value. Through our focus on improving our outlook, generating cash from operation, optimizing our capital structure, maintaining a disciplined approach to M&A and returning cash to shareowners, I am confident we can continue to achieve this goal. Thank you for joining us today, and now John, Hubert and I will be happy to answer any questions you might have. Operator?
Operator: Thank you. [Operator Instructions]. Our first question is from Bonnie Herzog, Wells Fargo. You may begin.
Bonnie Herzog: Thank you. Good morning.
John Brock: Good morning.
Bonnie Herzog: You expect your net sales to be slightly positive this year, so I guess how confident are you that this is achievable, given the continued tough macro and high end competitive environment. And then could you drill down a little further on the balance between volume and pricing growth, I think you - you mentioned you expect more volume than price, but how could this differ by market? And then also on price, how much do you think will come from rate versus mix, color there would be really helpful? Thanks.
John Brock: Okay Bonnie, let me ask Hubert to comment on our outlook for the year on price mix and revenue.
Hubert Patricot: Hi Bonnie, looking at this year, we see a balance between, I promise more investment in the market due to the constraint of the consumer spending in most of our country. In addition, we would have a solid innovation plan, so this would be a combination of these two elements. Our plan will be more rate driven and mix overall in the country, some slight variation, these are the portfolio we are having, but it’s more rate - rate than a mix present plan.
John Brock: And the other thing, I would add to that you asked about our level of confidence, we are confident that this is in fat the right plan for us to have, we’ve worked very cheerfully with the Coca-Cola Company in developing the joint business plan for the year. And pleased with the plan that as emerged, I think we have no doubt continuing challenging macroeconomics as well as consumer [indiscernible] but again we believe our category is the strong one. We think we’ve got the right plans and programs including a lot of new products and packages that we’ll be expanding across our territories. So yes, we have a high level of confidence in the plan and the numbers we’ve outlined.
Bonnie Herzog: And just a quick question on that statement John, in terms of some of the new innovation if that front end loaded this year or back end?
John Brock: I think it’s a continuing rollout, the - I knew products and packages that we had last year, we had Coke Life expanded and are introduced into Great Britain and Sweden and then France and now we’re rolling it throughout all of our territories. We have had success with smartwater in Great Britain and Sweden. And then we’ve had Finley success in France and Belgium and we’re looking at spending it into other markets. So it’s just continuing rollout of those as well as all those to package, new package introductions. So it’s maybe slightly from loaded, but I would say it’s going to be a continuing program throughout the whole year and we’re expecting significant benefits in the entire year, because you think about it, we only started rolling these products out in August, September. So the first 8 months or so we had none of these products or packages in the market last year.
Bonnie Herzog: Okay, good point. Thank you.
John Brock: You’re welcome.
Operator: Thank you. Our next question is from Bill Schmitz of Deutsche Bank. You may begin.
Bill Schmitz: Good morning.
John Brock: Good morning.
Bill Schmitz: A couple of questions, so the first is did you bake in any assumptions on the incidence rate, which covers you, I guess in June and to the outlook and to your operating profit growth outlook?
Nik Jhangiani: The incidence rate actually stays in place through the end of 2015. So nothing is really built into this in a business usual as we speak.
Bill Schmitz: Okay, great that’s helpful. And then, sort of a more longer term question, I know you talk about the implications of like to be domicile in Europe and when you do the net present value math and it never really works. But, given the downdraft in currencies, does that become more viable especially if we’re in for sort of like a long-term bottled FX, the buyer must would seems like we are?
John Brock: No, the simple answer to that question is no, the currency situation is not going to have a material impact on that, it’s really that simple. We continue, we study the tax situation rather regularly, given the situation we found ourselves in. But if we had anything to report there, we would obviously tell you about it and I think it’s here to say Nik is in front us, I don’t think…
Nik Jhangiani: Yes. I mean I think what you are probably referring to is if you did re-domicile and we reporting outside in a non-US dollars. So the currency translation fees would obviously that volatility wouldn’t be there. So if you are referring to that, yes but, I think we still need to look at it in terms of what’s the right economic model and what makes the right economic strength from that standpoint.
Bill Schmitz: Okay, great. Thanks very much.
Nik Jhangiani: We need to evaluate that.
Bill Schmitz: Okay, thank you very much.
John Brock: Thank you, Bill.
Operator: Thank you. Our next question is from Judy Hong of Goldman Sachs. You may begin.
Judy Hong: Thank you, good morning. I had a couple of questions, the first - in terms of your - your performance in GB in the fourth quarter, volume up 6%, obviously a pretty strong improvement sequentially, just a little bit more color just in terms of, positive dynamics that you saw in the quarter, your expectation as you would think about 2015, ob vu are lapping some of the challenging quarters last year when you had the packaging change that disrupt that your volume performance. So how do you think that will play out in an any kind of impact that you are seeing from a consumer perspective from lower gas prices?
John Brock: Okay, Hubert.
Hubert Patricot: Yes, Judy. So the competition activity in the last quarter remained OBIDA same that what we have been facing all along during 2014. We had very good consumer response from our commercial activities on Christmas, a couple which I wanted to describe which is our new pack price architecture with large PET 175, 125, 12 pack 1.5. It’s not totally in place in the market and we think the consumer and the shopper have not understood the dynamic behind this three pack. So it was a really positive factor at the end of this quarter. And we said also, we benefited fully from the launch of Coke Life on the Cola segment and smartwater. And both of them experience quite positive customer and consumer reactions. So it was really a good combination between promotion and innovation, which did at over 6% growth. Moving forward, we see the market thus continuing to be competitive and the environment for the shopper continuing to be a pretty tough for our retailers. And we know that despite the economic growth of 2.5 in GB wage only increased over 6.7 through the spending program of the shoppers in GB remained constrained. And we see the arbitrage is not so much in favor of price rationale. So we have to operate in this environment, but we think we have the right and again continuing to balance the right level of promotion activities and innovation and the benefit of innovation. In terms of competition, again moving into 2015, we continue to see the year as been quite competitive, yet I would say excellent point rationale this time.
Judy Hong: Okay. And then Nik, just clarification on FX impact for 2015, the 16% looks a little bit higher if I just run the spot rate and I know it’s a moving target every day. So it’s a little bit challenging in terms of what point your mark-to-marking. But just, can you give us a little bit of spends in terms of where you’re marking in terms of the year and the pan at this point? And then your comment about limiting some of the cash, or protecting some of the cash flow as the currency worsens, well potentially gets worse, is that a comment just in terms of implementing more hedging practices really to protect the cash flow stream?
Nik Jhangiani: So two points, I think in terms of that 16%, remember we’ve taken just recent rate, so if you look at the average over the last, few weeks, you’re going to get to the rates that we’ve kind of used. And the point that you have to keep in mind, is that we do have a further de-levering effect that just comes from having some of our expenses, i.e. corporate expense in US dollars as well as some of the interest. So we can give you further details on that, but that’s what’s driving the increment versus what you might be seeing if you are using similar recent spot rates. In terms of the point around improving cash flows, protecting that, I think we want to do everything from looking at, working capital and how we can better manage that looking at ways to further look at our CapEx spend and then obviously continuing to hopefully get better operating, income improvement as well as the year progresses. So we’ll do everything from that standpoint. Again to be clear, we do not hedge our translation impact.
Judy Hong: Right. So that’s not changing and I thought I heard some comment about maybe doing something on the FX side, but that’s not what you are referring to.
Nik Jhangiani: Yes.
Judy Hong: Okay, got it. Thank you.
John Brock: Thank you.
Operator: Thank you. Our next question is from Bryan Spillane of Bank of America/Merrill Lynch. You may begin.
Bryan Spillane: Hey good morning everyone.
John Brock: Good morning.
Nik Jhangiani: Good morning.
Bryan Spillane: John in your prepared remarks, you talked a bit about the, for 2015 having I guess the, more focus on just aligning the execution of some of the marketing program. So aligning I guess the - the consumer end of it, the marketing, the product and also with the in-store execution. So if you could elaborate on that, a little bit more and in addition to that just, to the extent what’s implied in the guidance I guess is that there is more SG&A, SG&A spending this year which would think with what you are saying about spending a little bit more in in-store execution. So if you could talk a little bit more even just at a very high level, whether the amount of sort of spending that’s going into the market from the system perspective, both CCE and Coke is somehow different or higher than it’s been in the past year. Just trying to get underneath those two topic, please.
John Brock: Yes. I’m going to ask Hubert to comment on that.
Hubert Patricot: Yes. Bryan, two comments, first, you may have heard from the Coca-Cola Company that they have reinvested in marketing starting in 2014 and they are going to continue to reinvest also in 2015 and above the line in media, targeting media, social media in our markets which is a good factor for us. What we mean by the better in-store execution let me touch two examples, first digital. We planned to continue to invest strongly in digital marketing being online shopper marketing and being what we call digital shopper marketing like mobile coupon. We would have a lot of activities around mobile coupon on the smartphones to our customers, we are taking millions and millions of coupons as we move into 2015. And of course message is also impacting our strong execution. One area of growth in all our country is a development of what we call just more basket, for example, which is a basket is less than 10 SKUs. And we know that this is a trend, which is growing 5%, 6% and we know that our incident in this basket is really below 5%. So combining this kind of digital activation, as well as display on 1 liter, 1.25 Zero, Light display, this kind of activity is what we mean when we saw, we can now improve our in-store execution to be even more carrier runs and growing after the gross area and that gross area in our environment.
Bryan Spillane: That’s helpful. And just in terms of just the total, I guess getting back to the question about, what’s being spent by the entire system into the market, is that higher this year than it was last year?
Nik Jhangiani: It’s higher, but we wouldn’t disclose numbers.
Bryan Spillane: Yes. I’m not looking for numbers, just trying to get the - just trying to get directionally, I guess this gets underneath Bonnie’s question about the confidence in being able to hit the revenue targets and, from my sense what I am hearing both from the Coca-Cola Company and CCE is that, there is more - there is more money being invested in the market, and there has been a lot of refinement in terms of thinking, the execution in the market with what the programming is? And if those two things are in place, then that should give you some confidence in driving sales growth is that fair?
John Brock: Yes, you expressed it very well.
Bryan Spillane: All right, perfect. Thanks guys.
Operator: Thank you. Our next question is from Ian Shackleton of Nomura. You may begin.
Ian Shackleton: Yes. Good morning, gentlemen. I would be very interested any comment you give us around how pricing negotiations have gone, particularly the UK retailers? And I guess from the new things we’ve handled, talk about reduced some of the SKUs over shells, don’t extent you feel vulnerable perhaps to SKUs being removed on shells picked in the UK again?
John Brock: Hubert?
Hubert Patricot: Yes. All annual pricing negotiation are either in place or all scheduled in terms of customary timeline. So we are currently engaged in this discussion in GB as you mentioned Ian, but also in France and Sweden. And as always our focus is on joined value creation. That having said that, the environment and you mentioned it GB, but it’s true also in France remains quite difficult. So it’s too early to tell about the outcome of this negotiation, but I would say so far I don’t see any specific reason regarding the discussion in GB, and as you know or so as the year goes on, we always adapt our promotional program and business plan to react to marketplace dynamic. One dimension I would like to highlight is that the one which is taking place in France, where our Home channel customers have consolidated further this year and they sort of put some additional pressure on our negotiation and discussion. But, we go into the discussion with strong financial with two top shares in 12 and 13, we have restored the categories, the value creation story with our customer in France. So net we know this kind of purchasing organization once play the scale. You mentioned specifically, what we see now in GB which is especially with some of our tough customer, their design to be much more rationale in their range assortment. We see this at CCE as a positive trend and in fact we are engaging with them, because we think that, when we look at our portfolio in general, now category in general, the modifications and proliferation of SKU has not been positive to the top-line growth of the category. So we are corporately in line with this design and in fact have started internally to work along the same line just how we can rationalize our portfolio, how we can get both innovation, but at the same time reducing the tail the SKUs both for customer and our shoppers. So we see it as a positive move and we think net, net that will be top-line growth for that category.
Ian Shackleton: That’s very useful Hubert. I missed the full, on the input cost, I think you have been talking about the more flattish environment for this year, particularly the move once in all, are you feeling a little bit more optimistic there?
Nik Jhangiani: We continue to watch that space closely, and again keep in mind with where the oil prices are with, the biggest impact it would have in some of PET and we’ll see that as we continue through the year. But again, keep in mind commodities only 30% of our capital cost, and it’s a big part of that is conversion as well. And it just continues to be volatile too, so we continue to watch that space and we’ll update you guys as we go along the year.
Ian Shackleton: Okay and thanks Nik. Thank you.
John Brock: Thank you.
Operator: Thank you. Our next question is from Ali Dibadj of Bernstein. You may begin.
Ali Dibadj: Hi guys, so you may have addressed this, I’m sorry I was jumping off on the call. But something that stood out to us was the negative 2% net pricing per case, and it’s kind of the most negative we’ve seen in recent decade. So I want to get a better sense of an explanation around that for the quarter and what impact you think it had on your volume?
Hubert Patricot: Ali, we had a very solid promotion in all of our countries in Christmas and the consumer reaction was pretty good to this - to this program. And combined to that the other element that we were launching Coke Life, smartwater, Coke Life in France, so we had also a strong support for the launch of new product and the introduction of new product which requires some investment as you can imagine. So this is what is the combination of these two elements which we are driving the pricing of our owned managed 2% for the quarter. The exact price elasticity is not the pure signs, I think but clearly we benefited from this joint investment in our volume growth especially in GB with the express on volume growth.
John Brock: And Ali, I would just add to that, I agree with you it is probably sharper than what you have seen in the past, but also keep in mind that our COGS, the case was down about 2.5% in that quarter as well. So we did continue to have slight margin improvement as well. And so we’re managing those dynamics as we go through.
Ali Dibadj: And but going forward, we wouldn’t expect that much even though your COGS per case sounds like they will be down similarly?
Nik Jhangiani: No we kind of indicated or guided towards the flat COGS per case for the full year. So we would be managing that, we’ll continue to remain flexible on both sides.
Ali Dibadj: Okay. And then a different sort of question, you guys obviously been so good at returning cash to shareholders levering up slowly to do that, now you are kind of in that - in your debt-to-EBITDA range it looks like at this point. How much further do you want to go out that range, should we just expect the same board of cadence even though you are in the range now of 2.5 to 3 and expect a little bit of kind of levering up along the way little bit of upside to your $600 million repurchases as we’ve seen over the past few years, or should we see that tapper off a little bit and steady in terms of the increases in repurchasing?
Nik Jhangiani: I think, the challenge that we’ve obviously faced during 2015 is relating to FX. So despite that we are maintaining our position on, focus on showing a valuation creation and returning cash to shareowners. So while we do see that moving towards that top-end of that range, at this point I would say we remain committed to staying within that range. I would again highlight to you if you look beyond the currency piece, the free cash flow generation of our business continues to be very strong and we will continue to focus on ways to continue to drive and improve that, which will allow us continued flexibility to remain on track to return, similar levels while maintaining our leverage in that 2.5 to 3 times to shareowners.
Ali Dibadj: Okay, thanks very much.
John Brock: Thank you.
Operator: Thank you. Our next question is from Mark Schwartzberg of Stifel Financial. You may begin.
Mark Schwartzberg: Yes. Thanks. Good morning, everyone. Question on France Hubert, just looking for more color on what the environment in that country is right now from a retail and consumer perspective? And two other questions on my mind are simply can you compare for us channel trends there? And also I think a follow-up to Ali’s question, how much pressure do you feel to promote more than you have there given the volume trends in that particular market and the economic environment there?
Hubert Patricot: We continue to see France as a significant growth engine and a high potential country for us, as if capitalize still the lowest we are in Europe, we have in Europe. So as I said we had industry challenges in 2012 and 2013, we had solid foundations in our customer relationship last year in 2014 and one of the key contribution to our success was also Finley launch which was very well received and was elected product of the year. So we had some good foundation as we enter in this negotiation and in the New Year. The other one climate is the one you described, which is again the unemployment in France remained pretty high above 10%, and as I pointed out some of our retailers, fixed as a biggest retailers have regrouped into three new purchasing organization clearly wanted to play their scale. However, we see growth in France in some of the key channels, digital being one, click and collect which is the way digital and online shopping is made in France is continuously growing and the hyper market back to grow is also in France, which is good news, our biggest customer being back to growth. So there are some clear pickets of growth moving forward. Again, we are just engaging our pricing and joint business plan negotiations for France. We have some good plans as the year goes on in canvas marketing continuing the innovation with Finley. We just launched Coke Life and it was very well welcomed, we are just in the middle of the launch. So again we are playing not only promotional as you said in view of the economic compact, but in addition we are playing also the innovation. And I was just mentioning just full basket, France is also a country where we have played the 1 liter PET especially to build incidence and continuing to develop the distribution of the two smaller cans 250 ml cans. So it’s really a combination of pack pricing initiative, promotional activities and innovation. And again we are just in the middle of the negotiations, it’s too early to tell to you what the outcome would be, but the good news is that we have restored the value creation story on the category and I think our customer recognize that the CCE have done a good job in this year.
Mark Schwartzberg: Great. And if I could, are you saying that your retailer conversations on price are still, they are still ongoing relative to calendar 2015? And then price mix in general, the innovation is obviously a positive, the smaller packs are positive, when you add it all up do you think your price mix on that market is going to be getting better or worse over the next rate of growth is going to be getting better or worse over the next year?
Hubert Patricot: As I said again, we are in the middle of the conversation, it’s too early to tell what the outcome would be and as you can imagine it will impact. My answer to the second question, and again to have the balance price mix as we move forward and for the midterm, as we said and we proved our case last year, we are all about the value creation of the category and clearly the potential for growth especially in France remain pretty intact, it’s up to us and to a customer to grow after together.
Mark Schwartzberg: Got it, great. Thank you, Hubert.
Hubert Patricot: Thanks.
Operator: Thank you. Our next question is from Steve Powers of UBS. You may begin.
Steve Powers: Hey thanks. Actually I had a question on your Energy business, which I know is small, but it’s a good driver of growth and profit. So as I understand it Monster will effectively inherent the current terms of your agreement with Coke, once their pending deal closes. And I think that means that the current pricing arrangement on brands like Burn and Relentless would therefore expire at the end of the year as well. So assuming that’s right, you talked a lot about price negotiations with Coke, but could you maybe discuss about how those talks with Monster might go. On the one hand, I’m sure everyone wants to minimize disruption, on the other hand Monster is alluded to desire for more of a two brand strategy going forward in most of its markets. It’s also expressed the fairly strong preference for finished product model versus the concentrate model. So I’m just trying to understand there are thing through the longer term implications for your business if there are any? Thanks.
Nik Jhangiani: I’ll comment on your first question, then I’ll hand over to Hubert to talk a little bit more about the Energy strategy going forward, but quite honestly the deal hasn’t closed yet and while we’re having some preliminary discussions with them around economic models etcetera. I think it’s too early for us to indicate where that is, but I would indicate to you it’s going to at least be on similar if not better trends going forward.
John Brock: Hubert?
Hubert Patricot: Yes. And in the meantime we are building very strong plans with Monster for the Energy category in all our countries, and we see again very solid perspective for growth for us in the segment. We are winning, we are gaining share, this is the segment that’s continuing to grow and as keeping up winning share. So and Monster will reinforce their above the line support with a lot of activities in sport sponsorship. We now have some new SKUs launched all over the markets. So we are really optimistic on our cooperation and we see only benefit in the new deal with the Coca-Cola Company.
John Brock: Yes. Let me just add to that, I totally agree with what both these guys said, we are really pleased and even though the transaction hasn’t closed. We’re really pleased with what’s happened and where it’s all headed. I think we’re going to have a totally aligned strategy now in the Energy, which has not been totally the case in the past and that’s really a good that’s good news all the way around. Within conversations of progressing, very positively on our multi-brand strategy is clearly endorsed by Monster and I think will yield benefits for all of us. So we’re excited about it.
Steve Powers: All right, great. Thank you guys.
John Brock: Thank you.
Operator: Thank you. Our next question is from Kevin Grundy of Jefferies. You may begin.
Kevin Grundy: Hey good morning guys.
John Brock: Good morning.
Kevin Grundy: John, question for you quickly, this maybe reaching, but color here would be appreciated. Is it too much which you have to say that the concentrated agreement with Coke which I know is going to last through year end, could in any way be interrelated where you guys maybe with respect to the German bottling operations on other words, consideration potentially with respect to Germany, it could be taken into accounts with respect to the concentrate agreement?
John Brock: I think it’s fair to say, we are having, what we think are really positive discussion with Coke regarding the entered into pricing agreement and our confident those conversations will, be concluded in an appropriate time sometime during the year in 2015. I think that’s totally independent of any kind of M&A strategy. We constantly look, we are on lookout for appropriate value creating possible deals, possible transactions. And we said before, we only would do something like that if it’s value creating, but we have keen interest in looking at potential acquisitions. But I think the two are broadly separate now, could they somehow be linked at some point, I guess you never say never, but right now we would view them as too fairly independent activities.
Kevin Grundy: Okay that’s helpful. And Nik one for you, so the business transformation productivity programs you guys have in place wraps up, are you guys still sort of aggressively looking at what the next program maybe or do you feel like some of the moderation that we are seeing here in commodity cost, sort of provides less of a sense of urgency is that the fair characterization that’s unfair?
Nik Jhangiani: You’re right, we’re wrapping up on the current business transformation program, I would say the sense of urgency continues to be with us every day to make sure that we’ve got the right operating model, the right structures, the right cost, structures that are right for the future and we continue to challenge ourselves on that.
John Brock: Yes. Well, as that we don’t never relax in that area, ownership, cost management is absolutely part of our D&A and looking at whether there are some other kinds of significant moves we should make down the road, we can’t something we’re challenging ourselves to do that. If we had something to announce or to tell you about we’d obviously do that and we don’t, but we might in the future, because it’s part of our approach to business.
Kevin Grundy: Okay.
Nik Jhangiani: Having said that, and just building on John’s point, there is no real low hanging fruit out there, so whatever we need to do, we need to really think about what the implications and what kind of investments do we need to pay make today to realize that for the future. But as John said, we will update to you as and when we have more information on that.
Kevin Grundy: Okay very good. Thank you for the time.
John Brock: Thanks.
Operator: Our next question is from Rob Ottenstein of Evercore. You may begin.
Rob Ottenstein: Great, thank you very much. Is it too early on Coke Life to get a sense of any kind of repurchase patterns, sense of where there may or may not be cannibalization and in specific customer response in terms of what they like about the product?
John Brock: Hubert?
Hubert Patricot: Hey Rob, we launched Coke Life as you remember in September in GB and later in Sweden and in December in France. I would say for France it would be too early, what we can say that in all countries the product was welcomed by the trade, by the customer we have been listed where we wanted to be listed and it was a good distribution for the brand. A lot of curiosity from their shopper and we have executive, full marketing plan which had really delivered a good trail rate. We have in the countries where it was launched already five, six months ago some encouraging first trial repurchase. But again we need probably more time to have a firm answer about your question. But it’s pretty encouraging. And regarding the cannibalization, yes we are experiencing cannibalization, but I would say really in line with what we were expecting and mainly as you can imagine on our Coca-Cola brand. But, next it is contributing positively to our overall Cola portfolio, but again we are really encouraged by this launch and that’s why now we are launching Coke Life in all our countries this year.
Rob Ottenstein: And on the cannibalization, is that more Zero or Light or Regular Coke where do you see the cannibalization?
Hubert Patricot: It’s pretty level between the variance with some variation between Sweden and GB, but nothing remarkable I would say in this area.
Rob Ottenstein: Okay, and then the - it looked like the energy drinks picked up sequentially, is there any color around that, and did weather playing any factor in the quarter?
Hubert Patricot: Well, especially if you look back well, remember there was a tax that would put in place early last year in France. So we had a lot flooding in France by the end of 2013, that’s why the beginning of the year was a bit slow. That’s what, we think we are back to normal run rate of double digit and this is where we plan to continue on energy moving forward.
Rob Ottenstein: Terrific, and just on the weather, how is the weather in the quarter?
Hubert Patricot: I would not see any significant impact on the weather for the quarter.
Rob Ottenstein: Thank you very much.
John Brock: Probably a normal quarter. Okay, operator we have time for one more question.
Operator: And our next question is from Caroline Levy of CLSA. You may begin.
Caroline Levy: Good morning, thank you so much. A couple of quick ones, what was - what will be the impact to sales from the currency this year?
Nik Jhangiani: I would say, probably slightly less than what we’ve indicated on the 16%. So keep in mind that 16% on EPS also factors in the de-levering impact as I indicated from U.S. expenses corporate and some of the interest. So you are probably looking at sort of 12% to 13%.
Caroline Levy: Okay. And any risk of another tax increase that you see out there, you mentioned the Monster the energy drink issue, but from a regulatory standpoint are you seeing anything that you’re watching closely in any of your markets?
John Brock: We watch carefully and closely all the time and we’ve taken a far more proactive stands then, when the excise tax was put in for instance, 2.5, 3 years ago. Hubert is Chairman of UNESDA and we have dramatically increased our whole approach there to making through we’re protecting our license to operate. And I think we could characterize the current lay of the land as we don’t see anything out there that’s eminent and that’s good news, but we remain constantly, looking and making sure that if there is something that appears we immediately going to hang here as an industry, we and the Coca-Cola Company of course taking a great leadership position that going to hang here and make sure that it’s diffused to the best degree possible. So I would characterize it is, we’re reasonably optimistic at least for the short term.
Caroline Levy: Great. And then just, I think you’re lapping a couple of very successful years of Share-a-Coke, you didn’t mentioned that as it is part of the promotion? Can you talk to that at all?
Hubert Patricot: Yes. We had very significant, icy benefits from Share-a-Coke, but we are also the raised on plans as we move into 2015, one was mentioned by John which is going to be the Rugby World Cup and in GB next - this year. But also we are going to have some icy on patch activities, which probably we will share a bit more during our next call, because it will hit our summer plan.
Caroline Levy: Got it. Very lastly on your Diet Coke or Coke Light, I’m not sure what it is in each of your markets, but it seems you’ve never really felt the tremendous downward pressure the U.S. has, can you explain that do you have any explanation for that?
John Brock: Well, it’s basically by the way it’s Diet Coke in GB and it’s Coke Light in the rest of the market, which is kind of way it is around the world, it’s Diet Coke in most angular markets. But again to the point I made earlier, we have very significantly increased presence and trying to protect our license to operate some, obviously there are people out there, there is attractors who don’t fully understand or appreciate just how safe as per team is and one of the things that we have done is working carefully with the European Food Safety organization and they’ve come out with a very definitive clear segment which is as per team the safe will stop. And I think as a result that is helped our position, we had a substantial issue around consumer concern in France. Couple of years ago and it’s less today, than it was then, and I think that’s generally true throughout all of our markets, but it is something we have to carefully monitor and be aware off all the time. And, I’m not sure how you’d make the comparisons to the United States, but we have had, I would say a continuing positive set of results around our dine soft drinks led by Coke Zero of course, in all of our markets and we think we’ll continue to do so in spite of this - this sort of bubbling level of concern around ingredients and particularly sweeteners. But not that we’re, I would say again guidedly optimistic about the future and our ability to manage consumer perceptions in that area.
Caroline Levy: Thank you so much.
John Brock: Let me just say thanks to all of you for joining us today. We appreciate your time and attention and hope you have a great day. Thank you.